Operator: Good afternoon, everyone, and thank you for standing by. Welcome to Absolute Software’s Fiscal and 2021 Fourth Quarter and Annual Financial Results Conference call. Before beginning its formal remarks, Absolute Software would like to remind listeners that certain portions of today’s discussion may contained forward-looking statements that reflect current views with respect to future events and conditions. Any such statements are subject to assumptions, risks and uncertainties that could cause actual results to differ materially from those projected in these forward-looking statements. Any forward-looking statements contained in today’s conference call are made as of today’s date, and Absolute Software undertakes no obligation to update or revise publicly any of the included forward-looking statements, whether as a result of new information, future events or otherwise, except as may be required by applicable securities laws. For more information on the assumptions, risks and uncertainties relating to these forward-looking statements please refer to the appropriate section of the company’s 2021 MD&A, which is now available on Absolute Software’s website and will also be available on SEDAR and EDGAR. I’d also like to remind everyone that this conference call is being recorded today, Tuesday, August 10 at 5:00 p.m. Eastern Time. I would like to turn the call over now to Christy Wyatt, President and Chief Executive Officer. Please go ahead.
Christy Wyatt: Thank you, Operator. Good afternoon, everyone and thank you for joining us today for Absolute Software’s fiscal Q4 and full year fiscal 2021 conference call. Joining me on this call is our Chief Financial Officer, Steven Gatoff. On today’s call, I will start by reviewing what a remarkable year for – was a remarkable year for Absolute as shown in our full year results, and then focus on our roadmap to long-term accelerated growth with our endpoint resilience strategy. After another robust quarter, we ended the year with strong momentum. In Q4, we finished with $123 million of ARR and revenue of $32 million. With continued strengths in adjusted EBITDA margins and cash flow as we look at the full year 2021 was a transformational year for Absolute. Year-over-year, we achieved record ARR growth of nearly 14% and record revenue growth of 15%. For the year, we realized a $121 million in total revenue above the top end of our original outlook. In fact, I’m very pleased to say that in 2021, we met or exceeded our key objectives. We delivered results better than our outlook on every metric, most notably achieving our Rule of 40 Commitment for the full year. And in every quarter in fiscal year 2021 reflected in our continued discipline in balancing the growth – company’s growth with profitability. As a result of our strong executional focus, we were able to effectively capitalize on our momentum to make strategic moves that positioned Absolute to accelerate long-term growth. This included raising capital and increasing visibility with U.S. shareholders through the listing of our shares on NASDAQ, as well as the acquisition of NetMotion enabling us to step into complementary high growth markets with a product offering perfectly suited for the modern work and learn from anywhere era. In parallel, we’ve continued our investment in the team and talented Absolute with new additions to the senior leadership team including Matt Schoenfeld as Chief Revenue Officer, Edward Choi as Senior Vice President of Global Alliances focusing on Persistence as a Service, and of course, Steven Gatoff, our Chief Financial Officer who joined us mid-year. Let me share a few thoughts on some of the core dynamics contributing to our momentum through the year and carrying into this year. While we’ve benefited from certain trends during the pandemic, this was a year where our commitment to focused execution delivered results. We have talked at length over the past year about our category and our leadership and endpoint resilience, and our passion for helping our customers realize tremendous value through the extended use of our products across their environments. You can really see the success of this strategy when you look at the improvement and net ARR through the year where we are seeing strong results in both – net new logos, as well as new additions and expansions. We’ve seen increased adoption across all business segments as well as increased usage of our capabilities. As an example, we saw an 84% increase in the usage of Application Persistence, a 70% increase in the usage of geolocation, and a 370% increase in the utilization of web usage across enterprise and education customers. In particular regulated industries like healthcare and financial services stand out, because of the risk landscape in these segments, we often see these groups as early adopters with accelerated deployments and higher utilization of our more advanced features, such as Application Persistence and Absolute Reach. As a result, we have also seen significantly higher net promoter scores from these groups. Healthcare, for example, continues to adopt and utilize Application Persistence, with nearly 65% of all of our healthcare customers having adopted it. In financial services, nearly 60% of our FSI customers used Application Persistence. We also saw these FSI customers leverage our reach portfolio of scripts nearly three times as often as our average customers. Fiscal year 2021 was a very successful year in our partner ecosystem. Our OEM partnerships sell more programs, integrations and initiatives than ever before resulting in steady demand and continued growth with new customers as well as expansion within our existing shared customer base. Also within fiscal year 2021, we launched our new channel partner programs to extend and broaden our customer reach through resellers. This program was acknowledged with a five star rating in Channel Reseller News’ 2021 Partner Program Guide, and fueled our momentum to grow our reseller partner base by 69%, adding 36 partners during the year and delivering significant positive impact to our pipeline, as well as increasing our MSP business by more than 36%. And finally, we continue to expand our Application Persistence ecosystem adding several new titles throughout the year, including Netskope Cloud Access Security Broker and Next-Gen Secure Web Gateway, Lenovo Device Intelligence and FortiClient VPN, as well as updated versions of ESET Endpoint Antivirus and Ivanti Security Controls. We have also published our inaugural Corporate Social Responsibility Report, as we continue our commitment to building a future for the next generation. As we look back at the year, I am very proud of the Absolute team for the amazing results they produced. We are capitalizing on the potential of our technology, and quickly demonstrating value to our customers and our partners. Now, let me go a little deeper into what we saw in the fourth quarter. Overall, the business delivered solid growth even in the face of several macro economic trends, including the COVID global pandemic and the global tech shortage that is directly affecting our OEM partners in the PC industry. Analysts are calling for slower year-over-year growth for PCs and while we have seen some effect on expansion licenses sold with new PC sales, we continue to see strong ARR growth across segments. Enterprise and Government as a segment continues to represent two thirds of our ARR and demonstrates steady growth. Our large enterprise customer segment in particular shows strengths in up sales and renewals over several quarters. Customers are choosing Absolute across both new and existing systems because of our alignment with the core long-term shifts and how they serve and secure their organizations in the face of remote and hybrid work environments. The education segment also continued to demonstrate strong demand, though slightly slowing and velocity this past quarter as a result of some of the same supply chain constraints, some delays in COVID funding and some amount of post-pandemic normalization, we continue to see strong demand and expect continued growth here. Our expectation is that the continued focus on mobility and remote work and learning will continue to drive steady growth in the business as our customers navigate both the effects of the COVID pandemic as well as the dynamics shaping the PC industry. Our investments and accomplishments in fiscal 2021 position Absolute very well to be able to offer customers a unique solution to manage the modern workforce as we move into fiscal 2022. Fundamental to any organization’s success in the post-pandemic world will be the continued requirement to be able to connect, manage, secure and control enterprise devices at scale, regardless of where those devices may be. Absolute has always had the unique differentiation of being able to see manage and control these devices enabled by the hardware itself, while lowering the complexity and cost of administration. With the acquisition of NetMotion, we now have the ability to reliably connect devices in a highly persistent and reliable way without negatively affecting the user experience. The secure access market is expected to grow at 36% CAGR over five years and together we will work to meet the demands of this new work from anywhere era and create a differentiated position focused on Zero Trust and SASE security postures. Gartner recently reported that interest in Zero Trust Network Access Solutions is up 230% between 2019 and 2020. Our experience to date certainly affirms that the keen interest to learn more and consider how to affect this transition within the organization. I’m very encouraged by how these initial reactions highlight the potential the two companies have together and that we have a clear roadmap to deliver on that potential. We close the NetMotion transaction on July 1, and are on track with our integration efforts. I’m pleased to say we’re moving quickly on all fronts with all back office teams having already been organizationally integrated. These teams are now moving towards integration and rationalization of shared systems and processes. Matt Schoenfeld and the team are hard at work developing our combined go-to-market approach, and engineering teams have engaged in the planning and development work required to deliver new value through integration. As we move through this process thoughtfully, you should expect to see more updates through the year on our progress. As we embark on fiscal 2022, we are working to capitalize on the market opportunity before us and accelerate our growth trajectory. We are well positioned to deliver a differentiated solution to the industry as our customers manage a multi device world and require high visibility and resiliency in remote work and education environments. We’re well organized to be able to execute on our plan, and you should expect the company to invest in focus on growth with continued balance. With that, I’ll now turn the call over to Steven.
Steven Gatoff: Thanks, Christy. Good afternoon, everyone. We appreciate you joining us. Fiscal 2021 was a transformational year for Absolute Software, where we saw record ARR and revenue growth accelerate your year despite some challenging times through the pandemic. We’ve been incredibly busy these past few months with the NetMotion acquisition and we’ve made significant progress integrating the companies, including our Central back office teams to support our product and go-to-market efforts across the now expanded platform and portfolio. I’ll talk about this more in a few minutes. But overall, we’d like to cover three topics with you now. First, talk through our Q4 and fiscal 2021 financial results. Second, update you on the closing of the NetMotion acquisition and provide some color on the dynamics and growth profile of that business. And third, go through our financial outlook for fiscal 2022, which just started last month. Let’s start out with the highlights of fiscal year 2021 that we just closed this past June 30 and then bridge that to Q4 results. Total Revenue for fiscal 2021 came in at approximately $121 million above the high end of our guidance range of $119 million to $120 million and up 15.4% for the year a significant acceleration over the 6% growth in fiscal 2020. The performance was driven by the strength of our recurring revenue subscription model and strong growth that we saw in ARR through the year, total ARR ended at a record $123.4 million at June 30, 2021 up 14% year-over-year, also exceeding the 10.6% growth in ARR that we saw the previous year in fiscal 2020. Fiscal 2021 adjusted EBITDA came in at $31.9 million, or 26.4% of revenue. That was also above our guidance range of 24% to 25% and showed a strong and fairly consistent margin level with the prior year. The overall performance is reflective of several factors from higher incremental revenue on strong bookings in fiscal 2021 to our disciplined operational expense management through the year, as well, of course, from the impact of the pandemic. Looking at the underlying bookings strength through the year, and so far as performance by vertical education ARR ended the fiscal year at $41.4 million, up 21% from the prior year. Overall was a strong year through fiscal 2021 for education, with the core demand being driven, as you know by the remote access needs of the school districts and their digital transformation strategies that were accelerated with the onset of COVID. Importantly, we continue to see solid levels of activity in the space as school boards now grapple with the complexity of managing their greatly expanding endpoint populations, and are tending to operate more and more like enterprises managing their infosec and large scale device management programs. We’ll talk to this dynamic a bit more when we focus on Q4 in a moment. Enterprise and government ARR ended fiscal 2021 at $82 million, up about 11% year-over-year, a fairly consistent growth trajectory through the year. Strong customer segments such as financial services showed nice upticks in growth, but were somewhat muted by headwinds and other verticals such as healthcare, retail, and travel and leisure, which as you know were hit hard by the pandemic. Nonetheless, we saw consistent growth in enterprise and governments through the year and in light of the investments that we’re making in both product and go to market, we expect accelerating growth as we move into fiscal 2022. It’s been great working with our new CRO, Matthew Schoenfeld, and I’m bullish on all the great changes that he’s driving in our go to market efforts. From sales management systems to additional selling capabilities to customer engagement methodology to compensation plans, an array of targeted initiatives aimed at driving sales productivity and bookings growth. Focusing now on the last quarter of fiscal 2021 for the fourth quarter ended June 30, 2021, revenue came in at $31.8 million, up 17% from the prior year, and up 3.7% from the prior quarter, again, reflective of the strong ARR our growth this past year. While education ARR grew really well through the year and ended fiscal 2021, up almost 21%. It was relatively flat sequentially on a dollar basis as a result of two factors. First, many of our education customers saw delays in receiving devices because of the global shortage of semiconductors, and the impact on the supply chain. And second, we heard from some customers that while U.S. Federal Funding for Schools was strongly supported in the Biden Administration, it didn’t make its way necessarily down to some states and districts, with enough time to support a more robust harvest season purchasing. It was this relatively lower education ARR growth of 21% that impacted our net dollar retention for the fourth quarter unfavorably by about 400 basis points coming in at 106%, down modestly from Q3, but still up from the 104% in fiscal 2020. As I said earlier, business activity levels and education remain solid. And we believe education’s digital transformation will continue for some time, where we see a structural shift in demand that’s higher than it was pre-pandemic. That said, as we continue their process of getting back to normal, we do expect to see a trajectory in education to more sustainable long-term growth levels that are off the highs of the previous few quarters of 30% and 35% ARR growth. Looking at enterprise ARR, while the year-over-year growth rates remain fairly consistent on a percentage basis on a dollar growth basis, the $3.2 million sequential increase in enterprise ARR in Q4 was the largest dollar increase in ARR and over a year and despite the COVID headwinds. As we’ve discussed, our enterprise and government sector is central to our growth and has been showing good activity levels. Accordingly, we’re looking to continue our investments in the space to capitalize on our unique endpoint position and drive growth through the coming fiscal year as Christy discussed. Finishing out the Q4 results. The rest of the P&L came in strong with sequential improvements in operating leverage, operating income generation, and an adjusted EBITDA margin in excess of 25%. With that, let’s move to our second topic and talk about the close of the NetMotion acquisition and provide some color on the business and upcoming historical financial statements filing and the dynamics around historical growth. As you know we’re very excited about the value prop and acquisition of NetMotion it’s a terrific fit and business and we’re pleased to be adding it to the platform. As we talked about that the May transaction announcement, the acquisition position us in the compelling new and high growth, SASE and ZTNA markets to further support our long-term growth trajectory. At the same time, the acquisition also provides us with meaningful revenue diversity that helps de-risk and drive our long-term growth profile. As we disclosed the transaction was a $340 million all cash acquisition through, which NetMotion became a wholly owned U.S. subsidiary of Absolute Software. We financed the acquisition through a $275 million term loan from Benefit Street Partners and $65 million in cash from our balance sheet. We finance the acquisition and set out a capital structure strategy that we believe offers three important benefits to the company and therefore to stockholders. One the financing structure provided us the ability to stay competitive in the transaction process and ultimately be successful; two, the structure set out a cost of capital that’s sustainable for the company to carry over the long-term if needed. So there’s no unnatural pressure of having to go for some unattractive follow on financing in the short-term. And three, the term loan structure provides the company with flexibility with baskets and terms that allow us to optimize our capital structure and deleverage as we move forward. All three we believe to the benefit of stockholder value. Importantly, we continue to believe that the strong profitability profile of the combined business supports the approximately 4.5 times leverage at closing, and enables us to de-lever going forward with our target to attain a net debt to adjusted EBITDA ratio that’s below two times in a two year timeframe. As you saw this past month, in the quarterly announcement, our cash dividend payments remain in place. Before we get into some of the business dynamics and financial profile, we want to reiterate that we’re providing information and insights on the NetMotion business today, in order to provide you with a benchmark and to get a feel for the business as we just closed the acquisition on July 1 and are launching into our fiscal 2022 year. The Next-Gen VPN and ZTNA, SASE offerings are being integrated into our product portfolio and are now part of the overall Absolute platform as one single unit. The operations are not run as a separate business or segment. Because the NetMotion acquisition is a meaningful addition to our company and financial profile, we’ll be filing a business acquisition report or bar filing with the Canadian regulators on SEDAR later this quarter. Among other info, the bar will contain the audited financial statements of NetMotion for calendar 2019 and 2020 when it was a standalone company, and it will include IFRS pro forma financial statements of the combined companies for our fiscal year 2021. That just ended on June 30, 2021. The IFRS purchase price accounting and financial statement work is underway to produce these financials and is progressing well. As you would expect, there will be the normal purchase accounting adjustments, including an anticipated write down of deferred revenue, and the conversion of NetMotion’s U.S. GAAP financial statements to our Canadian IFRS financials. While it’s not yet completed, we did want to provide some color on what we see as key takeaways from the coming filing in order to provide the necessary context to understand their historical revenue growth and the accounting rules that have influenced it and of course, to get a better feel for the business today. One of the main things that’s visible in the historical financials is that NetMotion reported very strong revenue growth in calendar year 2020 that approached 30%. This outsized growth rate was a direct function of the revenue accounting rules around customer migrations from on-prem perpetual licenses to on-prem subscriptions, with large numbers of migrations occurring in the first quarter of calendar 2020. The key message to call out is that we do not expect those revenue growth levels to continue going forward. As we don’t expect that level of large concentrated migrations as the company returns to a more steady state customer conversion trajectory and growth rate. As we discussed on the May call, NetMotion is in the process of two important expansions of their business that will further support the scalability of their products. And that also has an impact on the revenue accounting and resulting revenue growth rates. The first evolution is this migration of its customer base from a historical perpetual software license and maintenance model to recurring subscription arrangements. When an existing customer from NetMotion software licensed customer signs an agreement to move to a subscription arrangement, the accounting treatment for this is governed under GAAP by ASC 606 were roughly 50% of the total contract value of the new subscription arrangement is recorded upfront as software license revenue in the P&L and the period in, which the agreement is signed. The remaining 50% of the value of the contract is taken ratably to subscription revenue over the life of the agreement. They now only sell the subscription model to new customers as of June 30, 2021. NetMotion had roughly half of its revenue base under subscription agreements. Given the ongoing nature of the pandemic and our sensitivity to supporting customers and moving thoughtfully ahead with them as we look into fiscal 2022. While we’re bullish on the migrations and the value prop to customers, we don’t expect that level of concentrated migrations and resulting outsize revenue growth from the accounting treatment as we saw historically in a NetMotion business. On a more normalized basis. We believe NetMotion’s revenue growth rate is more similar to Absolute’s annual growth rate this past year, as we stated when we announced the acquisition in May. To finish out the earlier point, the second transition that the NetMotion team began to drive is transitioning its product delivery to the cloud from a historically on-prem installation. In this case, transitioning a customer from a legacy on-prem maintenance arrangement or even from an on-prem subscription arrangement to a cloud SaaS service is not fraught with the same ASC 606 upfront revenue accounting treatment and results in essentially the same ratable revenue effect. The last point to make on the NetMotion acquisition is that as Christy talked about, the integration is going well, and that speaks not only about the dedication of Absolute’s employees, but the terrific group of people we’re welcoming from NetMotion.  From my standpoint, we worked hard together the month of June and at closing successfully launched new sales comp plans that incentivize our product cross-selling. We’re continuing to work hard and have already integrated the core business support organizations and accounting, finance and HR. We have multiple resources focusing on our systems and ERP integration and expect that to go live early in calendar 2022. We look forward of course, to reporting on our progress in the coming quarters. With that, let’s turn to our financial outlook for the year ahead. As you know, we began our new fiscal year 2022 on July 1 that just passed, the same day that we closed the network, the NetMotion acquisition. We have confidence in the long-term trends in our business and our ability to capitalize on both our unique capabilities and position in the market, and the demand that’s continuing to show signs of growth for our firmware embedded value prop. Now, all the more enhanced with our Next-Gen VPN and ZTNA offerings. We expect our SaaS model to drive solid revenue results from our growing ARR base as we continue to invest in our business in fiscal 2022. We anticipate a fairly steady gross margin profile through fiscal 2022 consistent with the overall margin for fiscal 2021. And we see investments in two consistent areas in fiscal 2022 sales and marketing and products and development. And so far as a percentage of revenue, we expect some increased investment in sales and marketing in the first half of the fiscal year as we drive our new products into the market. We’re also planning for increased investments as a percentage of revenue in the second half of the fiscal year in R&D, to further drive our platform innovation and product differentiation. With this view towards driving organic growth and tracking our revenue trajectory from period-to-period, we’re focused on providing visibility to investors in line with, how we run the company and with the metrics that we look at. To accomplish this, we’re providing guidance for revenue on an adjusted basis. This means that we’ll be presenting fiscal 2022 guidance that does not include the yet to be completed M&A, purchase price accounting adjustments that write down deferred revenue that we believe add complexity to the underlying economics and impairs the comparability of revenue from period-to-period. This is consistent with how we planned our fiscal 2022 internally, and it aligns us with stockholder interests, as this is also the basis for how management will be compensated. And so with that context, we’re pleased to share our outlook for the longer view trajectory of the business and provide guidance for the full year fiscal 2022, ending June 30 2022, as follows. We’re setting out initial full year adjusted revenue guidance to be in the range of $203 million to $207 million. This equates to an implied full year fiscal 2022 adjusted revenue growth rate of approximately 11% to 13%. And we’re setting out initial guidance for full year adjusted EBITDA margin for fiscal 2022 calculated on adjusted revenue to be in the range of 18% to 20%. In order to further help you model this out, the math of our initial adjusted revenue growth rate guidance for fiscal 2022 is based on pro forma fiscal 2021 combined company adjusted revenue of approximately $182 million. Note that this calculation and assumption for fiscal 2021 pro forma revenue of the combined companies is based on the adjusted combined company revenue, which does not include any adjustments or purchase accounting, or GAAP to IFRS conversions. One last topic that we wanted to note. As we indicated a couple quarters ago, when we introduced our quarterly earnings deck and the financial metrics sheet, we continue to look to drive transparency in the business and provides investors with high quality information in a low friction way. Another one of these initiatives that we’re implementing involves how we report stock-based compensation expense in our financial statements. Previously, the company had disclosed SBC, all together in one separate line item on the face of the income statement. As you’ll see in the reporting of the Q4 financial statements, stock-based compensation expense is now reflected in the respective functional line items in which they occur, meaning cost of goods, sales and marketing, R&D and G&A, which is consistent with the presentation of our SaaS peers, comparative periods for fiscal year 2020 have been reclassified to conform to this presentation and present comparable info. It’s important to note that you still have the same detailed SBC info bifunctional line item in the footnotes and MD&A. This is just a change in how SBC is presented on the face of the P&L in order to be more comparable to the SaaS community. We’re continuing to look at our reporting practices and disclosures with a view to driving further transparency, simplifying our reporting, and continuing to be consistent with our SaaS company peers. We look forward to keeping you apprised of our efforts in this area each quarter. With that, we appreciate your time and support and we’re glad to open the call for your questions. Operator?
Operator: Thank you. [Operator Instructions] Okay. Your first question comes from Mike Walkley from Canaccord Genuity. Mike, please go ahead.
Mike Walkley: Great. Thanks for taking my question and congratulations for strong, close to a strong year. Again, I guess, Steven, maybe for you just to help us walk through the puts and takes for your combined NetMotion and Absolute business guidance of 11% to 13% revenue growth? Can you maybe just walk us through, how you’re thinking about the different segments and what maybe NetMotion adds to that pro forma revenue type growth numbers that you’ve laid out for us?
Steven Gatoff: Sure, we’d be happy to and as usual, I think Christy and I will tag team on it. I think, Mike the key part is that they’re not actually segments. And I hate to sound like a finance dork about that. But they’re fantastic products that are being folded into our platform. And so we won’t be reporting on them as separate products, we’ll be reporting on the combined business, there will be some disclosure that we’ll have in our footnotes each quarter, because it’s a material acquisition that will talk to the revenue for NetMotion. So you’ll see that on a historic basis. But the premise really is that you have two strong books of business in ARR that are driving nice growth for each of the companies. And so that contributes to the growth trajectory as we move through fiscal 2022 with both product sets. And then we’ve taken a fairly conservative approach, but are fairly bullish on the business. And so far as the synergies from the two businesses that were putting together and that really falls into two buckets there. There are the cross-selling synergies that are important. And then as we mentioned on the remarks a moment ago, we launched right at closing with comp plans to incentivize, them selling our products into their existing customer base and vice versa. And then there’s the synergies around all of the really good IT of marrying Persistence and Connectivity and so far as new product development and product enhancement, that obviously takes more time, and is not something that we’ll see financially showing up in the P&L, until the exit of this year and into next year, or likely. And so that’s how we thought about our guidance. We obviously just came off with planning internally and have been going through that. And so we feel good about the year, and wanted to set expectations in a thoughtful way.
Mike Walkley: Great. Thanks. And maybe just a follow-up for a little more color within this, did these ongoing supply shortages is that impacting guidance at all given sounds like PCs are going to be constrained for, several quarters? And also just how are you thinking about the education vertical? It’s been quite strong, but also they’re impacted by some of these PC shortages.
Christy Wyatt: So, I think those are all components within it, Mike and I think the first piece of it sort of take them in steps. We had been saying for a while we thought education would eventually normalize and harvest season sort of seems to be that moment, although one thing we did touch on in the call is that it, one of the influencers, there was really more about kind of bureaucracy around the how the money was flowing, the COVID sort of funding was flowing through the system. So, we’re still seeing very strong demand, I don’t think anything has changed in my view of how that’s going to kind of work through the coming quarters. On the PC side, we’ve talked about this in the past, and where we tend to see that as if people are purchasing software licenses in combination with a PC. So, we don’t see it affecting our expansion business or enterprise licensing when a customer is activating existing devices within their environment. And we’ve talked quite a bit about how we land with a customer. And then we expand after that moment, mostly on existing devices. And so we don’t see any direct impact of the supply chain shortage on that part. Where we might see it is on some net new logo and some PC connected expansion business. And I think that’s a little bit of what we saw in this past quarter. And I’d say you saw that somewhat distributed across education and enterprise; there was nothing that was sort of unique to that, from one segment to the other.
Mike Walkley: Great, thanks. Asked one more question kind of to both you and then I’ll pass the line. Just embedded in the full year guidance, just to help us, can you remind us of any seasonal trends to consider kind of a quarterly cadence towards that full year guidance, especially since some of us are haven’t seen the pro forma for NetMotion. So, how to maybe think, how that has any seasonal trends? And then just on the adjusted EBITDA targets? Steve, you laid out a little bit, but are some of these increased investments more front end loaded? Or do you expect margins to be kind of steady throughout the year? That sounds like R&D might be more back end loaded in terms of OpEx increases? Thanks.
Steven Gatoff: Yes. Awesome questions. And you nailed it, the key takeaway. So our starting the bottoms up kind of our margin profile is fairly steady through the year, but we have a little bit higher, we expect a little bit higher gross margin, sorry, EBITDA – adjusted EBITDA margin in the first half of the year. And it’s really for the main reason that you set will have a little bit more investment in sales and marketing in the first half, and so first half of the year compared to the prior year, expect to have a little bit lower. Adjusted EBITDA margin but then, in the second half of the years, as you said, as we talked about, we expect to invest a little bit more as a percentage of revenue and in aggregate dollars in R&D specifically an engine [ph] and product as well. And so be expected adjusted EBITDA to be a little bit lower in the back half of the year, not massively but a little bit lower.
Mike Walkley: And just quick clarification on past line, yes I think it’s great to invest for the big opportunity ahead, or just the guidance, also to really know cross-sell between the two companies in the current fiscal year, but really starts to pick up and exiting the fiscal year and into future years?
Steven Gatoff: Yes, I think that’s basically right. The assumption is and keep saying just because from an operational standpoint, we’re very focused on it, on getting comp plans in place and getting people really armed and cross trained and the sales teams are in training actually all day today on this topic, which is educating them on each other’s products, and so they can be diverse and at least have the conversation to bring them in. But the short answer to your point is that we have not assumed a large pickup and cross-selling, certainly not in the first half of the year, but that is accelerates as we move out of the fiscal year.
Mike Walkley: Great. Thanks for taking my questions and best wishes for success with the integration. 
Steven Gatoff: Thanks Mike.
Operator: Your next question comes from Adam Tindle from Raymond James. Adam, please go ahead.
Adam Tindle: Okay, thanks. Good afternoon, and congrats on a strong finish to the fiscal year. I wanted to ask maybe Christy and Steven can tag team on the spread. Last call you characterize NetMotion has accretive to a number of key metrics. You talked about how it strengthens your commitment to the Rule of 40. This call your initial guidance for fiscal 2022 is low double-digit revenue growth and high teens EBITDA margin or more like Rule of 30. I’m wondering what have you learned about the pro forma entity over the last 90 days that’s leading to this change, is that 20% 30%, elevated growth, a surprise or that migration something new and acknowledging that obviously, you’ve outperformed metrics in the past. So maybe there’s some level of conservatism just unpack if I’m reading too much into this or is there some changes that you’ve learned over the past 90 days.
Steven Gatoff: Most important takeaway is no surprises and no bad news. The integration and the team’s coming together has been really tied and has been tremendous sharing of information. And I think we would offer just to disaggregate the economics of the business and what we said, which still holds true. And I’ll get to that in a moment, with the approach to setting guidance and taking a thoughtful, dare I say conservative approach to beginning the fiscal year and how we expect to revisit guidance through the year as we go quarter-to-quarter. And so that’s kind of the mindset of guidance, per se, but for the business. And what we’ve seen in so far as the economics of we see this as accretive that’s still stands on as we said both on top line and on bottom line, which was kind of the call out that we wanted to offer around the historical financials that really had some outsized growth, because of the goofball accounting on accelerating 50% of the revenue upfront, right, that really drove a lot of revenue that is non-recurring to that degree. And so when we gave that color and provided that last quarter on the announcement, we were speaking to the normalized rate that was not based on some nominal growth rate, or some, edge use case was really based on what we saw as the steady state run rate of the business and we still believe and still have in our math of our numbers that it adds to revenue growth with the synergies baked in and then it adds to profitability.
Adam Tindle: Got it. That’s helpful, I figured that might be a question tomorrow’s, let’s just get it out on the table here, and that’s very clear. I did want to ask that the news, sales comp plan for cross-selling, any way you can maybe unpack some of the mechanics behind that. And also any analysis you’ve done on level of shared customers or synergy dollars that you’re now getting some visibility into?
Steven Gatoff: Sure, sure, we’ll tag that. So on sales comp plans it was really fairly straightforward. We wanted to really incense our sales force to bring in NetMotion sales folks to sell deals. And obviously, vice-versa, we wanted instead NetMotion folks now go bring in resilience. And so we really attached a compensation plan almost as an overlay, and so far as, you would conceptually be paying twice for the deal. And so, sales reps on our side, for example, feel like they can get paid some really good commish for a NetMotion product, a core complete product closing at their customer, right? So it’s not a small little like oh, hey, Greg, you get a little – we’re doing this, it’s almost as if they got full credit for the deal. So that they feel like they can achieve their comp for the quarter and for the half of the year, as we looked at it through these transactions that they can get paid well, and that’s how we wanted to make sure that it wasn’t an also have or a nice to have that it was thought of as folks, part of folks comp plans.
Christy Wyatt: The only thing I’d add to that is may be two decimal data points. The first is, we set our selling comp plans against the first half and second half. So the plan we’ve put in place is really for the first two fiscal quarters. And then the second small nuance within that is, we’re incenting them. So there’s a commission connected but in terms of retiring quota, not exactly the same, right. So folks are incented financially to sort of bring them together, but we’ve been quite thoughtful about how we’re sort of mapping out quota across all across both of those pieces. And you asked a little bit about the customer overlap. I don’t think we’ve reported out on that. But we think that there’s a lot of whitespace, right, there is some nice customer overlap. But if we take their footprint in mobile, which is a completely complimentary sort of area to us, I think that there’s a lot of whitespace there, when we talk about some of the additional platforms that we get to support as a part of this. So, we’re also assuming, at some point over time, up-selling expansion within our existing accounts. The last thing I’d sort of add is, we are running them as parallel sales organization for this first half of the year, as we’ve talked about when we first started talking about the transaction integration, right, the back office functions are fully integrated today, but the selling and go-to-market and the product teams are still running as complimentary, but connected. And so we’re getting a lot of the – we’re not trying to slow either side down, but give them some nice accelerators to find new business opportunities on top of what they already have.
Adam Tindle: Understood, that’s helpful. Thank you both.
Steven Gatoff: Thanks.
Operator: Your next question comes from Scott Berg from Needham. Please go ahead, Scott.
Michael Rackers: This is Michael Rackers on for Scott Berg. Thanks for taking my question today. So, you guys have made some solid changes to drive higher customer and revenue retention over the past few quarters. We have the net revenue retention rates, but can you give us some color on gross churn improvement in the quarter?
Christy Wyatt: I’m happy to start and then Steven can jump in, but as you know, we don’t report out the renewal rates, we report out on the total. But I think we did give a few comments this quarter about some of the nice improvements we’ve seen as a result of some of the investments we’ve made in formalizing the renewals process. And we’ve talked in the past about some of the partnerships we’ve had around that. I think what you’d expect to see as we go into the next year is, is we’re going to continue to do more, we’re continuing to build out the renewals function and more separation of selling efforts across all different tiers and across all segments. And so that’s a place where we continue to pay a lot of attention. Without sort of getting into the weeds of which things we just can’t kind of talk about by segment or within the various different areas, I think we’re very happy with how it’s sort of taken hold. And also, I think the part that I feel probably best about is the increased connectivity with our customers, right? I think that the investments we’ve made in this area within our business over the past year has gotten us much closer to our customers, which helps us when we think about new ARR growth and some of the other initiatives we have going on within the company.
Steven Gatoff: Yes, Michael, you nailed the two pieces. Obviously, as Christy just said the renewal base plus expansion and how the business has improved. A lot of it has been through the really good nuts and bolts and blocking and tackling around renewal rate. And as Christy said, we expect to continue to see that as well as some real expansion opportunity from enterprise as we move through the full year fiscal 2022 and so far as what our outlook is on that.
Michael Rackers: Right. And then just one more from me. So, you mentioned earlier, you brought in a new Chief Revenue Officer during the quarter, can you just talk a little bit about the impacts on fourth quarter bookings and what type of changes we should expect moving forward?
Christy Wyatt: Sure. And I’m happy too. So even though Matthew started two weeks before the year end, we did not actually put him into the role until the first of July. And so we actually had Sean continue out the end of the fiscal year. And give Matthew an opportunity to sort of observe and kind of start to connect with the team. We also do our company kickoff, normally, it’s been in whistler last couple of years, it’s clearly been virtual. But that happens for the whole company followed by sales kickoff in the third and fourth week of – I think it was the third week of July. And so why that’s impactful is because in a very, very short period of time, I think Matthew hit the ground running. He’s made several sort of key new additions into his own leadership team. As Steven pointed out earlier, he has his leadership team off site for a couple of days now going through some work with force management and some of his best practices around pipeline inspection and growth strategies. And so I think he’s had a tremendous impact in a very short period of time. Now, the one part, even though I just mentioned a moment ago, that that the two sales teams are running in parallel, the Head of Sales for NetMotion, also dotted line reports into Matthew. So, he’s already sort of inclusive of the two halves and really working together with both sides on sort of those cross-selling strategies we talked about earlier as well. So very big impact in a very short period of time.
Michael Rackers: Right, thank you so much. That’s all for me.
Steven Gatoff: Thanks, Michael.
Operator: [Operator Instructions] Your next question comes from David Kwan from TD Securities. David, please go ahead.
David Kwan: Good afternoon. Just wondering on the education side, saw that slowdown this quarter, it sounds like it was just more of a timing issue is, I guess, taken a while for funding? Certain fun, I guess the trickle down to your education customers? Do you have any visibility as to when you could see that pick up? And have you seen the change since the end of the quarter? And then also maybe looking at it over the longer term? Once things kind of normalize a bit here? Do you still expect that the education business can kind of grow roughly in line with the government and enterprise segment?
Christy Wyatt: Hi, David. So, I don’t think our view on education has changed. We did know that at some point this hyper growth period for where we’re every school was going through their pandemic transformation. We did sort of signal clearly that that wasn’t going to be a forever thing. I think that is a as I mentioned in the comments, I actually think there’s three components to what we’re seeing in education. Some of it is that post-pandemic normalization, I think folks are – it this is a busy time in education and figuring out where all their devices are and how to get them ready for the new school year. Some of them collected them, some of them didn’t. And so we are still seeing a lot of activity and a lot of demand in that space. Some of what they had hoped to do with deploying new devices was impacted by the supply chain dynamics we talked about earlier. I don’t think our view has changed. We don’t expect it to sort of pop back up to sort of the FY 2020 growth rate or the Q1 through Q3 growth rates that we saw before. But we started to see it starting to settle into to a little bit closer to normal, I – all I can say in terms of visibility is we continue to see strong demand and we’re going to watch it closely as we go through the year to sort of see how that progresses.
David Kwan: No, that’s helpful. And I was curious on the debt side, just wanting to get can maybe talk about your options is the look of potential refinance that debt down the road, hopefully with some cheaper maybe bank debt. What options you’ve got any prepayment penalties, stuff like that?
Steven Gatoff: Hey, David. Yes, in the comments that we were mentioning, we structured a bunch of terms and conditions that give us a lot of flexibility so that there are not onerous prepayment penalties, we have some nice carve outs and baskets that would allow us to swap out other types of financing, whether it’s equity, or otherwise, or cheaper debt or non cash paid debt. And so what we’re focused on really is managing the leverage capital structure as well as the cash pay over time. And we, coordinators who we said, what we meant and meant what we said on the whole notion of putting in place a financing package that we can sustain over the long-term. And so this is something where we want to be really thoughtful about what cap structure makes the most sense, but it is some amount of de leveraging over time, that will be economically very attractive. So there’s not a big onerous prepayment penalty. And then by the way, at your one, Mark, any takedown beyond baskets is at 101. And so it becomes even more attractive.
David Kwan: That’s helpful. And then last question on the guidance. Can you talk about what foreign exchange rate, you’re assuming and are you still planning to continue our hedging program?
Steven Gatoff: Sure, yes. We basically, our philosophy is we forecast on current day exchange rates. So, we are not speculating on what the rate is. And so to the extent it changes favorably, or unfavorably, we would get affected like everyone else in the market. On our consumption model, what we do though, on our expense profile, we have a large amount of expense, headcount, mostly right 70 plus percent of our expenses, headcount, we have a big chunk of Canadian base headcount or USD functional, and our next biggest currency is GBP. And so we have very simple forward contracts, where we’re buying forward currency, so we lock in that budget rate. So from an expense standpoint, we pretty much lock in the vast majority of our P&L of our OpEx and it’s really the economics of revenue that would fluctuate over time with the market.
David Kwan: Perfect, thanks.
Steven Gatoff: Yes, sure.
Operator: Your next question comes from Thanos Moschopoulos from BMO Capital Markets. Please go ahead.
Thanos Moschopoulos: Hi, good afternoon, in terms of the EBITDA guidance, can you clarify, what you’re assuming in terms of conference and tradeshow budgets and whether that’s going back to normal in the coming months?
Steven Gatoff: Thanos pleaseclarify, can we clarify the terms of…
Thanos Moschopoulos: Yes, travel conference, tradeshow budgets, are you’re assuming it that kind of brand so that typically pre-pandemic levels are implicitly, what is your EBITDA guidance assume on that front?
Steven Gatoff: Yes, good. Good question. We’re actually talking about this earlier today. So, we assume it starts to come back a little bit, but nothing remotely close to what it was pre-pandemic, obviously asked and everyone else from the past year plus, saw T&E budgets of anywhere from 15% to 20% to 25% of what a normal spend would be. There’s some spend and some events that still happen, right? You still have a sales kickoff, you still have a President’s Club, you still have a conference for people for customers, which is virtual so it costs less, but it still costs money. And so we’re assuming in our profile that, that starts to work its way back as we move through the year. Obviously nothing super meaningful right now and Q1 as we all know.
Thanos Moschopoulos: Great. And you obviously hired Alliances recently with interesting backgrounds. So maybe expand in terms of guests with the approach there is what it will be focused on and just general update on Persistence as a Service? Thanks.
Christy Wyatt: Sure. Happy too. So, we’ve talked a lot about the program, we said that as we were going through the pandemic year, our focus had sort of shifted slightly over to more fulfilling the catalog of Application Persistence within the product, as opposed to under the banner of Alliances since Edward comes to us from Samsung, where he had a very similar role and worked on some very broad, very visible relationships, especially on the mobile side. And so he’s formally taken on responsibility for that Persistence as a Service program, and is really going as already, I think, in a very short period of time been in sort of reaching out and establishing a lot of broad dialogues around what to do or how to sort of further those relationships as well as put some formalization around the program. So in the background, right, we’ve continued the product work, we’ve continued to work with a small number of partners, who has taken on the technology, but I think this is really about taking it to the next level. So hopefully, we’ll have more to come back and update you all on as we go through the year on that.
Thanos Moschopoulos: Great. That’s helpful. Thanks.
Steven Gatoff: Thanks.
Operator: Your next question comes from the Kevin Krishnaratne from Desjardins. Kevin. Please go ahead.
Kevin Krishnaratne: Hey, there. Good afternoon. Just one question for me with regards to NetMotion and your assumptions for the growth there for the year. Can you talk about maybe for the land versus expand opportunity, where do you see that growth coming the mix of it, is it kind of 50-50? So, I guess what I’m trying to understand with Absolute Software’s product, we understand that there are various tiers and different pricing models, can you talk about, what you see in NetMotion with the current base, in terms, I’m just trying to think about the different levers, whether that’s new customers, existing customers, expanding the number of endpoints that they’re on, and then sort of thoughts on potential pricing increases, whether that’s, and that might be from various different flavors of the product offering within an existing customer base.
Christy Wyatt: Hi Kevin, I think it’s probably a little early to talk about pricing, although it is something that we’re spending a lot of time looking at. I think that in terms of pricing changes, I would probably look at this journey in a couple of steps, right? First of all, I think there is bringing up training sort of the sales on both sides, as well as the channel and the OEM on the value of kind of the new solutions. And it takes some amount of time, especially with our channel structure to kind of place those within. So, I think the first pass you’re going to see is really cross-selling, right it really is. And there is a lot of potential there. So for example, we don’t – we haven’t had a mobility product. And now we have an opportunity to talk to customers about mobile units, which is an area that we haven’t connected to in quite some period of time and then adversely, across their customer base, being able to offer our core capabilities as well. And so just as a quick refresher, I mean, I think they had about 13,000 customers – 3,000 customers to our 13,000 customers. So, I think we’re approaching 16,000 combined. The second piece is when we start to actually integrate product. And I think that, that’s likely where more interesting things happen. At this – if we kind of take that through steps, how do we inject the core of what we do and connect what they’re doing into our core platform? And I think once we – and the third, of course, would be around the data, right? How do you bring all of that intelligence from the device from the user and from the network into one common view of what’s going on across the enterprise. And so that’s kind of the journey you’re going to see us go through as we go through the next 12 months. So, as I said, pricings a little further out there until we come back and talk about a combined roadmap, but those are sort of the big, I’d say milestones and are thinking.
Kevin Krishnaratne: Okay, maybe just to be a bit clear there. So I mean, your guidance isn’t really expecting much in the way of cross-selling between the two until later on in the year. So, I’m just trying to think about nearer term within NetMotion itself, those 3,000 customers, like, can you talk about maybe the expansion opportunities within those accounts. And then within there is – is the NetMotion product, something that has multiple different pricing tiers and much like we see with Absolute Software where there could be just natural progression upwards. I’m not talking about your thoughts on moving pricing between the bundle Absolute NetMotion just trying to think about within NetMotion.
Steven Gatoff: Sure. Yes. We’ll, taking a little bit on it. So in essence, you got the takeaway spot on, which is we’re bullish on the cross-selling, but we’re not counting on any material revenue to the model till, middle to the end of the year kind of thing. But to your point, the way that businesses are being run right now is really growth trajectory for each set of products. And the NetMotion product on products, the quarter complete, has a really nice profile of both land-and-expand and so their growth has not just been from adding new logos. Similarly, it’s not also been historically, just from mining, the existing customer base has been a nice blend between the two. And so that was part of the attractiveness when we were doing diligence and learning the company and working with CK and the management team to their approach with customers. And so the short answer is, it’s a blend of both expansion of existing customers have upsell, if a really nice MDR ratio and core renewal rate as well as new logos.
Kevin Krishnaratne: Okay, great. Thanks very much. I’ll pass the line. Thank you.
Steven Gatoff: Thanks, Kevin.
Operator: There are no further questions at this time. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines.